Operator: Welcome to the Advance Auto Parts Fourth Quarter 2011 Conference Call. [Operator Instructions] Today's call is being recorded. If you have any objections, please disconnect at this time. Before we begin, Joshua Moore, Director of Finance and Investor Relations, will make a brief statement concerning forward-looking statements that will be made on this call.
Joshua Moore: Good morning, and thank you for joining us on today's call. I'd like to remind you that our comments today contain forward-looking statements. We intend to be covered, and we claim the protection under the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments or results and typically use words such as believe, anticipate, expect, intend, will, plan, forecast, outlook or estimate and are subject to risks, uncertainties and assumptions that may cause the results to differ materially, including competitive pressures, demand for the company's products, the economy in general, consumer debt levels, dependence on foreign suppliers, the weather, business interruptions and other factors disclosed in the company's 10-K for the fiscal year ended January 1, 2011, on file with the Securities and Exchange Commission. The company intends these forward-looking statements to speak only as of the time of this conference call and does not undertake to update or revise them as more information becomes available. The reconciliation of any non-GAAP financial measures mentioned on the call with the corresponding GAAP measures are described in our earnings release and our SEC filings, which can be found on our website at advanceautoparts.com. For planning purposes, our first quarter earnings release is scheduled for Thursday, May 17, 2012, before market opens. And our quarterly conference call is scheduled for the morning of Thursday, May 17, 2012. To be notified of future dates of earnings reports, you can sign up through the Investor Relations section of our website. Finally, a replay of this call will be available on our website for 1 year. Now let me turn the call over to Darren Jackson, our President and Chief Executive Officer. Darren?
Darren R. Jackson: Thanks, Joshua. Good morning, everyone. Welcome to our fourth quarter conference call. First, I'd like to thank our 52,000 Team Members for their hard work and congratulate them on an outstanding performance in the fourth quarter and for fiscal 2011. The team's focus and dedication enabled us to achieve new record levels of performance this year. Our continued investment in service and availability translated into industry-leading service experience as measured by NPD, while improving the efficiency of our operations. Together, these investments resulted in record profitability as reflected in our 90 basis point improvement in our operating income rate, which reached an all-time high of 10.8%. We remain on track to achieve our goal of 12%. Our improved operating performance enabled our full year earnings per share to grow 29.4% to $5.11, while our return on invested capital reached a record 19.5%. Mike will provide more specific details on the fourth quarter and our full year results in a few minutes, as well as the outlook for 2012. Our heritage is grounded in our commitment to service and is reflected in our promise "Service is our best part." Just as important, our values, inspire, serve and grow, are critical to how we deliver on our promise on a consistent basis. Together, our team's dedication to our promise and values resulted in record levels of customer satisfaction, Team Member engagement and financial returns in 2011. Operationally, we set new standards of achievement in delivery speed, reliability, inventory on hand and e-commerce sales, to name a few. Finally, we finished the year slightly below double-digit comps in our Commercial business and saw sequential improvements in DIY throughout 2011. We entered 2011 by simplifying our strategies to service leadership and superior availability. Service leadership, in simple terms, is to help customers buy through delivering on customer expectations, which requires a relentless focus on service basics and behaviors. We made material investments in our district leadership team, the measurement of commercial delivery speed and reliability, and our service leadership assessments. Ultimately, our goal is to maximize the value of each customer engagement, whether it's when a customer walks into one of our stores, calls us or clicks on our website. Superior availability is focused on building an industry-leading supply chain through our efforts to build out our hub network and implement our new warehouse management system. This new warehouse management system is a critical element of our state-of-the-art distribution center set to open in the fall of 2012. Kevin Freeland will provide you with more insights on our progress under our superior availability strategy shortly. I am pleased with the strategic progress we made, as well as our financial results that accelerated throughout the year. Specifically, we were able to generate a 2.9% comp store sales gain during our fourth quarter and a 2.2% for the fiscal year. Overall, our business continues to be impacted by regionality but was less so in the fourth quarter. Our performance for the year was driven by solid results in both our failure and maintenance products. In our fourth quarter, we saw positive growth in both DIY and Commercial. In 2011, Commercial comps were strong, giving us near double-digit comps for 4 years in a row. We slowed the pace of our Commercial weighs in 2011 to focus on and achieve better execution, which enabled us to better manage our integrated service model. We are delighted by our ability to turn the tide in DIY, despite a very tough comparison, through improved execution and increased average ticket. Overall, we continue to outperform the market and gain significant market share in our rapidly growing Commercial business, which represented 37.2% of our total sales in the fourth quarter versus 35.1% during the fourth quarter last year. Additionally, we are pleased with our improved top line and bottom line performance of our commercially focused Autoparts International business. AI grew to nearly $295 million in sales, with an 8.6% comp store sales increase while increasing profits nearly 3x to $12.3 million for the year. We continue to see significant potential to grow our Commercial business and to gain market share. By contrast, we underperformed the industry and our expectations for DIY market share in 2011. Our team is focused on the basics of execution, merchandising and marketing to build on our Q4 gains in DIY. We are pleased with both our DIY and Commercial sales trends as we start 2012. A special highlight is our continued effort to serve the communities in which we operate. This is reflected in our work to increase awareness and seek a cure for juvenile diabetes. Our team once again continued our strong efforts in support of JDRF by raising roughly $4 million this year. Our fundraising total since 1994 is now over $30 million, and we continue to be JDRF's #1 corporate partner. Looking to 2012 and beyond, we continue to see strong structural elements of our industry, including the increasing average age of vehicles, which is nearly 11 years, with 2/3 of those cars on the road being over 7 years old. With over 240 million cars in the U.S., this continues to be a major driver of the long-term growth and stability of the industry. Our economy continues to be tempered with high unemployment and low consumer confidence. As a result, we expect to see an economy of necessity, where consumers will continue to favor and seek value through local garages or performing needed repairs themselves. In the shorter term and with stabilization of gas prices, we expect the industry in 2012 to perform comparably to 2011. However, increases in gas prices at the pump will have a negative impact on the growth potential of the industry, as evidenced in 2011. As we start a new year, we remain focused on service leadership and superior availability and the elements that support our strategies. Our success will be determined by our ability to run the business with excellence, which is based upon providing outstanding service, growing DIY and accelerating Commercial, effectively managing our inventory levels, continuing to increase the effectiveness of our Team Member training and development while allowing us to retain, hire and ignite the performance of our outstanding Team Members. In 2012, our key organizational priorities include the continued focus on improving our in-market availability through the continued expansion of our hub network and the opening of our new DC during the back half of the year. We continue to enhance our e-commerce offerings in order to increase the retention and acquisition of larger size commercial customers. We will continue our efforts to increase the penetration of B2B, which has been very well received by our commercial customers. Finally, we will work to maximize our return on every customer visit by providing the service they want and expect from every Team Member. In closing, I'd like to acknowledge our team's everyday heroics, simply serving their customers better than anyone else. These acts of heroism happen every day in one of our stores, such as Millsboro, Delaware, where TJ Marshlack [ph] and Thomas Lacasse [ph] deliver on our promise, despite the cold temperatures, by installing a battery for a mom and her young son and testing the car's charging system to ensure the job was done right, and we gained a customer for life; or in Topeka, Kansas, where General Manager Chris Anders takes great pride in being available for our customers, connects with them in a meaningful way by taking them from an ordinary transaction and turning it into a memorable interaction. Thank you to all of our everyday heroes as your acts of heroism are what makes Advance a great place to work and will continue to drive our success way into the future. Now I'd like to turn the call over to Kevin Freeland, our Chief Operating Officer.
Kevin P. Freeland: Thanks, Darren, and good morning. I'd also like to congratulate the team for a strong fourth quarter and year. I'll take a moment to highlight a few of our accomplishments during the quarter, as well as update you on our initiatives to support superior availability strategy and new store growth. Over the course of the year, we worked to increase the breadth and depth of our in-market product assortment and availability through our efforts to increase the number of hubs in the marketplace, as well as providing delivery capabilities from strategically positioned hubs. As a result, we've worked aggressively to add our number of hub stores in 2011, which now sits at 294, or an increase of 68 since Q4 of 2010. We upgraded the inventory in 47 stores for the quarter and 814 stores for the year. As a direct result of our hub strategy and our inventory upgrades, our in-stock levels were up nearly 90 basis points over last year and are at a record high. Despite our start to 2011, when our inventory levels increased 21% during the first quarter, our inventory levels at the end of the year were up only 9.6% versus the prior year. This is a great accomplishment, and I want to congratulate our inventory team as their focus on disciplined inventory management allowed us to exceed our goals by sequentially decelerating the rate of growth each quarter while continuing to build our -- build on our already high level of customer perception of availability. Additionally, we continued to expand our supply chain financing program and have reduced our owned inventory per store by 29.8%, with our total owned inventory decreasing $150 million versus the fourth quarter of last year. Our work in this space has led to an increase in our AP ratio of nearly 1,000 basis points versus the fourth quarter last year and now stands at 80.9%. We continue to be encouraged by our progress, and will continue to work to expand our AP ratio in the future. Turning to gross profit. Our gross profit declined 39 basis points to 49% versus the fourth quarter of the previous year. This anticipated decline continues to be impacted by increased supply chain costs driven by our investments in hub stores and increased deliveries. Additionally, our gross profit decline was impacted by unfavorable shrink. However, we continue to make great strides with respect to our shrink management. Our shrink performance has improved since second quarter, and we anticipate this headwind will subside in the back half of 2012. Partially offsetting those headwinds in 2011 were continued improvements in DC productivity and continued benefits from our merchandising, global sourcing and pricing capabilities. While gross margin declined 24 basis points in 2011, it increased 312 basis points over the last 4 years. Our new Remington, Indiana, DC will begin receiving product in the second quarter of 2012 and is anticipated to begin shipping product the following quarter. Remington will provide us with much needed capacity and will be by far the most advanced DC within our supply chain. Once this new DC is up and running, we'll be able to benefit from additional productivity improvements and continue to increase our overall availability. We continue to reach new customers and grow sales through successful expansion of our e-commerce capabilities and through new store openings. During the fourth quarter, we opened 19 stores, closed 1 Advance store and closed 1 Autopart International store. For fiscal 2011, we opened 95 Advance stores, 9 Autopart International stores, closed 4 Advance stores and 1 Autopart International store. As of December 31, 2011, the company's total store count was 3,662, including 202 Autopart International stores. Overall, our fourth quarter as well as 2011 was very successful for our team, and I'm thrilled by the strategic and financial progress we've made as we focus on providing superior availability. Now let me turn the call over to our Chief Financial Officer, Mike Norona, to review our financial results.
Michael A. Norona: Thanks, Kevin, and good morning, everyone. I'd like to start by thanking all of our talented and dedicated Team Members for their contribution to the strong financial outcomes we delivered in our fourth quarter to close out another very solid year. I plan to cover the following 3 topics with you this morning: one, provide some financial highlights from our fourth quarter of 2011; two, put our fourth quarter results into context with both our full year performance and the key financial dimensions we use to measure our performance; and three, provide you with our annual financial outlook for 2012. Looking at our fourth quarter, we are pleased with our strong end of the year, with earnings per diluted share increasing 57.9% to $0.90 per share versus $0.57 for the prior year. For all of 2011, our earnings per share increased 29.4% to $5.11 on top of a 31.7% EPS increase in 2010. Our comp store sales increased 2.9% during the fourth quarter, which was on top of an 8.9% comp increase during the fourth quarter of fiscal 2010, representing an 11.8% 2-year comp store sales increase. We are very pleased with this result as it marks our strongest comp performance for the year despite challenging comparisons. For the year, our comp store sales increased 2.2%, with total sales increasing 4.1% to nearly $6.2 billion. As Kevin mentioned, our gross profit rate in the fourth quarter was 49% versus 49.4% in the fourth quarter 2010, or a decrease of 39 basis points. This was in line with our expectations. The decline versus prior year was primarily driven by increased supply chain investments in hubs and slightly higher shrink expense. For the year, our gross profit rate decreased 24 basis points to 49.7%, which was in line with our previous outlook and expectations. Turning to our cost structure. Our SG&A rate was 40.6% during the fourth quarter versus 42.8% during the fourth quarter of 2010. This 221 basis point decrease was driven by productivity improvements from the company's variable customer-driven labor model, which includes the anniversary of investment rollout expenses, reduced incentive compensation as a result of the company's lower comp sales growth versus the fourth quarter of 2010, occupancy cost leverage, and a significant decrease in overall support costs. The expense reductions were partially offset by continued strategic investments in areas such as commercial, availability and e-commerce. As a result of our cost management efforts and a continued commitment to building a more competitive cost structure, our SG&A per store decreased 2.2% in 2011 to $666,000 per store. As a direct result of our team's execution and commitment to achieve both top line growth and improve our cost structure, our operating income increased 33.3% versus fourth quarter of 2010 while our operating income rate increased 182 basis points to 8.4%. Our full year operating income increased 13.6% versus fiscal 2010 to $664.6 million. Our operating income rate increased to a record 10.8% of sales in fiscal 2011, which represents a 90-basis-point increase, which was on top of a 100-basis-point increase in 2010. We are delighted by these results and pleased with our team's progress in growing our business and profitability. Free cash flow was a record $507.2 million, which represents a $40.9 million increase over last year. This increase was primarily due to our strong growth in net income and reduced owned inventory. As Kevin mentioned, our reduction in owned inventory was driven by our efforts to increase our AP to inventory ratio, which is now at 80.9%, up nearly 1,000 basis points from 71% in 2010, and our work to decelerate the pace of growth of our overall inventory levels, which grew 9.6% for the year. These improvements to our free cash flow were partially offset by our increased capital spending, which was up $90.6 million, driven by our strategic investments in supply chain to improve our efficiencies, to complete our Remington DC and investments in our e-commerce business. At the end of Q4, we had $416 million of debt on our balance sheet, and our adjusted debt to EBITDAR was 2x, which is below our previously stated ceiling of 2.5x. Last month, we obtained long-term funding through our $300 million unsecured senior notes offering, which will be used to pay off short-term debt and for other general corporate purposes. This was part of our capital structure plan to continue to improve our financial foundation by securing longer term funding at favorable terms, which will help fund our future growth. With respect to share repurchase program, we repurchased approximately 9.9 million shares of stock for $609.6 million at an average price of $61.51 per share during fiscal 2011. These repurchases continue to reflect our confidence in the company's ability to grow profitably and to create long-term shareholder value. Strategically, we continue to position the company for growth and improved profitability. Our performance in our fourth quarter and 2011 demonstrates we are on the right path and reinforces our commitment to accelerate growth, improve profitability and drive shareholder value. We continue to measure our performance based on these 3 dimensions. Our commitment to grow our business is reflected by our fourth consecutive year of strong Commercial sales growth, which continues to drive record sales per store. Over the past 4 years, our sales per store have increased $181,000 to $1.71 million, driven by increased Commercial sales per program, which has grown 45% over the same period. Our ability to grow profitably is marked by our 190-basis-point improvement in operating income rate in the past 2 years, driven by the structural improvements we had made to our gross profit in the areas such as parts availability, inventory management and new capability such as global sourcing and e-commerce, and through the improvements we have made in our cost structure. We continue to be on pace to achieve 12% operating margins. Turning to shareholder value. We continue to maintain our disciplined approach in managing our balance sheet and capital structure as reflected in our 19.5% return on invested capital, which increased 200 basis points versus 2010 and 580 basis points over the past 4 years. The increase in ROIC and the 116% increase in our free cash flow over the past 4 years were primarily due to our improved operating performance, as well as our continued efforts to reduce our owned inventory. Turning to 2012. We believe it will be another strong year given the solid industry fundamentals Darren mentioned, and we look to build on our 2011 momentum with our relentless focus on service to meet our customers' needs and continued investments in commercial, availability and e-commerce. We estimate our 2012 EPS will be $5.55 to $5.75 per share. This annual outlook reflects a weighted average share count of approximately 74 million outstanding diluted shares and includes additional interest expense from our recent unsecured notes issuance. Now I'd like to provide you with the key financial assumptions implied in our annual financial outlook. In 2012, we anticipate new store openings for both Advance and Autopart International brands to be approximately 120 to 130 stores. Service leadership and superior availability will fuel continued sales per store growth. We expect comp sales to grow low- to mid-single digits, driven by continued growth in Commercial. We expect a modest improvement in our gross profit rate as we continue to reap the benefits of our previous investments, our focus on excellence in terms of inventory and shrink management, and the anniversary of supply chain efficiencies. Partially offsetting these margin benefits are headwinds associated with the ramp up of our new Remington DC that will come online during our third quarter of fiscal 2012, our new warehouse management system, and the increased mix of Commercial sales. Turning to our cost structure. We continue to see opportunities to increase our productivity, reduce the variability of our store performance and reduce support costs furthest away from the customer. We expect to continue the progress we made in 2011. However, our focus on growth will continue to require us to make investments in areas such as commercial, supply chain, global sourcing and e-commerce. Based on our comp sales outlook, our incentive compensation may be leveraged as a result of slightly higher sales and year-over-year growth in 2012. All in, our strategic investments, combined with more normalized incentive compensation, will be partially offset through our continued efforts to improve our cost structure and simplify our operations. We anticipate that our SG&A per store will increase in the low-single digits. Turning to capital expenditures. We expect our capital expenditures to be approximately $275 million to $300 million, which is slightly higher than 2011, driven by new store development, supply chain investments and store systems. We expect free cash flow to be a minimum of $400 million, driven by areas such as increased net income and continued improvements to working capital, partially offset by higher capital expenditures. We anticipate the phasing of our quarterly operating profit will be somewhat different than our historical performance. We expect that our operating income growth will be the strongest during our first quarter and will be more constrained for the balance of fiscal 2012. This is driven by our first quarter comparisons versus the very weak start in fiscal 2011; the pacing and timing of our strategic investments in 2012, which are more focused in our second and third quarters; and the anniversary of expense savings from 2011, which started in the second quarter of fiscal 2011 and accelerated throughout 2011. In closing, we remain focused on our 2 strategies of service leadership and superior availability and continuing to generate long-term growth, profits and shareholder value. Our strategic investments, relentless focus on service and operational excellence are key ingredients to achieving these. We want to thank our talented Team Members for the meaningful impacts they made in 2011 and look forward to an exciting 2012. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question today is from Gary Balter with Credit Suisse.
Gary Balter - Crédit Suisse AG, Research Division: Darren, I was going to ask you if you thought the Golden Eagles will win the BIG EAST Tournament before you get to your 12% operating income. But that's probably not a fair question, so I'll phrase it differently...
Darren R. Jackson: I think they're both in good shape.
Gary Balter - Crédit Suisse AG, Research Division: When we say the goal of '12, that's -- given the guidance, you're not looking at that for this year, right? That's something that you're looking a couple years out?
Michael A. Norona: Yes. Gary, it's Mike. Yes, that's right. We haven't changed our view on that. And we've said, over the next few years, we're going to get to 12%. And we made great progress in 2011, and we continue to be on track to achieve that goal.
Gary Balter - Crédit Suisse AG, Research Division: Now I'll ask that question. Gross margin was stronger than we expected this quarter, like it was down 39 but it'd come off down 80. What -- you mentioned also higher shrink. Could you discuss what were the components of the stronger gross margin and what gives you the confidence? Because you mentioned you expect it up next year as well.
Michael A. Norona: Yes. Gary, it's Mike. Maybe I'll give you the components and then Kevin can give you some of the insights. The 2 big drivers were supply chain, and the story hasn't changed there as we've been putting in more hubs as part of our strategy to improve our market availability. A little bit higher gasoline prices, and investments we'll be making in our new DC and our WMS system. So that was the biggest part of the drain. And then our shrink year-over-year was down, but it was down less of a level than it's been in Q3 and Q2. So we're really pleased with the progress we're making -- that the Team Members are making on our shrink. But that was less of a component, but those were the 2 components.
Kevin P. Freeland: Yes, Gary, this is Kevin. The other elements essentially all netted to an even number. We've been aggressively ensuring that we're staying price competitive with our key competitors, continuing to work to lower cost of acquisition of product through category management and global sourcing. As Mike said in his prepared statements, it appears to us as though the shrink headwinds will abate as we get into the back half of next year. But the other elements that sit underneath gross margin, we expect to continue to march ahead.
Operator: Our next question is from Tony Cristello with BB&T Capital Markets.
Anthony F. Cristello - BB&T Capital Markets, Research Division: I wanted to talk a little bit about sort of your targeted share repurchase, how you're going to manage your leverage. I mean, down to 2x, which is certainly below your target, and your guidance reflects no share repurchase. Is there something we should consider as we look out for the balance of this year? Or is all systems sort of go but you're just going to be targeting it when it's most beneficial to you?
Michael A. Norona: It's Mike. First of all, we're really pleased with what we did last year. We bought about 12% of the company back on the heels of, well, 13.6% the year before that, in 2010. Our philosophy on share buyback hasn't changed. I think we've bought back about 40% of the company since 2004, and we continue to talk about being opportunistic. And that really is our confidence in our ability to continue to create long-term value. So we'll continue to be opportunistic. We have confidence in our ability to continue to grow that value and our historical performance, especially when you look at things like our top line growth, our bottom line growth and our returns, our ROIC, that's up over 500 basis points over the last 4 years. And then the other -- some other pieces is obviously maintaining our leverage ratio under our maximum 2.5x is important to us. Year-over-year, we kept that thing at 2%, and we were at 2% -- sorry, we were at 2x in 2011. And then I think the most important thing for us is share buyback is one available use of our capital. Our first options are always how do we grow the business and looking at options on how we grow the business. So over the last number of years, we put money into commercial. We put money into e-commerce, and we've been very pleased with the returns we've gotten. Kevin's talked extensively about supply chain and the opportunities we have there, our new Remington DC, our new WMS. And I think Kevin said it, we're going to have one of the most automated supply chains. And we'll have an opportunity to see what that does and the efficiencies that it gives. So the first choice is obviously to look at where we put our capital to grow our business. And if there's other little tuck-in acquisitions and things like that, kind of second. And then third, a great way to pay back our shareholders. So our philosophy hasn't changed. And I'll just remind you, we had an open to buy of 300 million. We have 200 million left on that going into the quarter.
Darren R. Jackson: Yes, Tony. Just maybe to build on that, Mike. To answer your question directly, Tony, each year, we just make a deliberate decision not to include stock buyback in our guidance. And that hasn't changed from prior years either. And I think, in a word, we haven't changed our philosophy and our approach. We do plan to be opportunistic. And that opportunistic -- you've been watching us for a long, long time. As Mike said, we've bought back $2 billion of stock since 2004 at about an average price of $45. So we feel pretty good about that strategy and don't see really any need to change it. And the good news is we're well below our targeted leverage ratio. So that gives us a lot of flexibility.
Anthony F. Cristello - BB&T Capital Markets, Research Division: Okay. And maybe if I can just have the follow-up on sort of prioritizing growth. And it seems like as we moved through the phases of 2011, you sort of pulled back on some initiatives and were focused on delivering profitability, and based on where sales trends were. And it seems like you've seen a little bit maybe more of an acceleration of investment, and I'm just trying to understand how much of that was intentional, how much of it was sort of what wasn't spent last year sort of was pushed into this year. And what's sort of the timing of this next phase of investment?
Darren R. Jackson: When I think about last year, a couple of things. We got out of the first quarter and, admittedly, we did not perform the way we thought and had hoped to perform. And quite frankly, the trends were just very different than when we started the year. And to your point, historically, we go into the year with heavy, heavy investment in the first quarter. I think in Mike's prepared comments, we're investing in the first quarter this year but not at the same levels that we have in historical years. And that phasing has moved, I would say, to be more evenly spread throughout the year. Because one of our learnings last year, and I think we've talked about this every conference call, is that the teams can absorb so much change in a period of time. And so what we've tried to do this year is even that out. And you're right, last year, I would say -- did we pull back on some investment in the second, third and the fourth quarter? Yes, we did a little bit, but it was really in the greater good of getting the process right and allowing the teams to absorb and execute. And you can see that playing out -- from my vantage point, you can see it playing out in the fourth quarter, in particular, that we were able to turn the tide on DIY, still grow the Commercial business at rates that we're happy with and improve our margins, improve our shrink and all those things that come with that, consistency of running the business. And we've gone into this year recognizing that's a big value to us, and we're spreading it out. So as Mike said, our first quarter is a quarter that, quite frankly, we feel really good about. And we tried to signal on the guidance for sure. Second, third and fourth, we feel really good about, but you know what, it will experience more investment this year than it did a year ago, just because of the lapping effect that we talked about.
Michael A. Norona: And, Tony, just -- it's in my remarks, but maybe I'll add a little color to it. We are going to have a little bit of pacing and timing with our costs throughout the year. So for instance, we have our large GM meeting that always occurs in our first quarter. That's going to get moved to the second quarter this year. And advertising last year, as you remember, our advertising, we got out of the blocks last year with some strong advertising in Q1. That's going to be spread a little bit more evenly through the second quarter through Q4. So those are a couple of examples.
Operator: Our next question is from Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: I'd like to start out by asking about traffic and ticket trends, particularly for DIY but for the business more broadly as well.
Darren R. Jackson: Yes. So I don't know that there's any new news, Matt, in terms of traffic and ticket trends versus Q2, Q3, Q4 for us this year. Most of the growth, if not all the growth in DIY, has come from larger ticket. Though we have seen, as you would expect, from the first quarter of the year last year through the fourth quarter, our traffic's improved. But we have been -- as Mike alluded to, we did turn to some more traffic-driving marketing as we got into the year last year versus brand advertising, which we did heavy in the first quarter of last year. So there's no new news in terms of what those trends look like. As we look to this next year, one of the things we think about is we know regionality was a drag on our business in 2011. That regionality we felt, obviously, in the traffic. And if you think about it, that just meant there was probably more deferred maintenance. And so if we're slightly optimistic -- we're slightly optimistic around the fact that we'll see a little better traffic trends this year. And we believe that those ticket trends will continue as we get into 2012, too.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: That's very helpful. And then as you think about Commercial, I guess in the context of it turned out to be a pretty good year, Commercial was a bit lower than double digit. And as you think about a sustainable growth rate for Commercial, both based on the market and based on your willingness to invest, how should we think about the next couple of years for that space?
Darren R. Jackson: Yes. We haven't changed our view on that either, Matt. We still see that as a double-digit comp grower for us. I would say that if I back up, we did, as I talked about in Tony's question, we did taper off some of our commercial investments last year in lieu of focusing on the execution. So as we come into this year, you'll experience us -- we've got still more wave markets to do, and we've built those into our plans. But we've built them in a way that we're spreading them across the year this year. And we think and we know from experience that those tend to certainly boost our comps and have a multi-quarter effect. So we don't have a different view either structurally about the commercial market. That seems to be as strong as it's been over the last several years. And this year, we must continue that investment pattern in our wave markets, our drivers and our delivery, speed things that we're focused on.
Operator: Our next question is from Greg Melich with ISI.
Gregory S. Melich - ISI Group Inc., Research Division: Just to follow up on the traffic and ticket trends, just to be clear. As I back out, it looks like DIY was still around a negative 1. But it's fair to say it improved a couple of hundred bps through the year. So we can still assume that the traffic was down in DIY a couple percent. Is that my math?
Darren R. Jackson: Yes, Greg, fourth quarter or for the year?
Gregory S. Melich - ISI Group Inc., Research Division: For the fourth quarter.
Darren R. Jackson: Yes, traffic was down.
Gregory S. Melich - ISI Group Inc., Research Division: And on gross margin, in terms of the outlook you guys provided, getting up a little bit, how important is getting the DC up and running and getting the inventory built for that to helping the gross margin start to grow again? And how should we think about that in terms of continuing to extend the payables, which obviously has been such a great job to help free cash flow?
Kevin P. Freeland: Yes, Greg, this is Kevin. Essentially, the investments that we're making to bring Remington online are being offset this year through some efficiency programs that we launched that are literally taking effect in the first quarter. So that should be relatively neutral in the overall picture. Mike, in his comments, mentioned that we expect the shrink to abate across the year and no longer be essentially a topic in the back half of this year. We're continuing to expand the global sourcing program. And while it was incredible percentage numbers early on, it is a substantial base at this point. And we're putting large percentages on top of large dollars. So that will continue to fuel the numbers. In terms of the supply chain financing, I would just ask you to look back at the last 3 years of how that program has unfolded. It is a day-by-day, negotiation-by-negotiation process that is a multi-year program. We're certainly proud of how that has played out and proud of the teams that are working on that. We're also proud of the speed at which we've deployed it. Another competitor in our space, certainly ahead of us, but it took them over a decade to accomplish what they were doing as they were blazing a trail, so to speak. But our plans would see improvements in that area for this year and likely beyond.
Gregory S. Melich - ISI Group Inc., Research Division: So at the end of this year, 2012, would you expect inventory to grow at a similar rate to what it did in 2011?
Kevin P. Freeland: Much of the investments that we made this past year, so a substantial increase in the number of hub stores, we continue to see opportunities there, although we leapt ahead last year, did far more than we had historically done. Our plans for this year would look more similar to what you would have seen prior to 2011. So our inventory plans for the year would not -- which in total outgrew the cost of goods sold. As we go into next year or as we go into the balance of this year, it would be not likely that we would continue to aggregate inventory at that same rate, but instead would be a more modest growth in inventory. The intersection of that, with improved supply chain financing, we would expect to see similar cash flow going back to the company through improvements of reducing owned inventory.
Operator: Our next question is from Chris Horvers with JPMorgan.
Christopher Horvers - JP Morgan Chase & Co, Research Division: Last year at this time, your sales were really hurt by geography and timing in the calendar, given really heavy storms in January and April. So is it fair to say that, that's working in your favor this year and perhaps comps have accelerated? And then related to that, can you talk about how the regionality changed sequentially in terms of the drag, 3Q to 4Q?
Darren R. Jackson: Yes. I can do this. So as we -- I said in our prepared remarks, Chris, that both DIY and Commercial are off to a good start this year. And certainly -- I mean, we've all been doing this long enough to know that last year, and we said this last year, January was tough in terms of the weather, and particularly in the Northeast. So there's no doubt that, that's in there. The way I think about it is that, over the course of the year, I always say this, weather evens out. So to your comments about regionality with Q3 to Q4, my recollection is that Q3 regionality was 300 basis points. This Q4 was probably closer 100 basis points. Unfortunately, this is probably the last time we'll be able to talk about it because the NPD data related to that is going away. We see a high value in that. Others see it differently. So we're done. I think this is the last time we'll be able to talk about that.
Christopher Horvers - JP Morgan Chase & Co, Research Division: That's very funny. And then as you think about -- surprise. As you think about the DIY acceleration and what happened with traffic and ticket, was the acceleration mainly a function of your ability to pass price through that you were holding back on in prior quarters that you mentioned? And was there any relationship between that and the gross margin trend looking better sequentially?
Kevin P. Freeland: Yes. This is Kevin. We've had a similar approach to pricing, both on the DIY and the Commercial side, that we built in the first few years that we came together as a team. It's a very simple concept, which is we benchmark our prices at a very detailed level, DIY versus Commercial, right down to the street address. And it is critical that we remain competitive, and that hasn't changed for years. That all said, there are certain items in the assortment that appear inelastic. And those are areas that we look for margin enhancement. But as we go into a head-to-head, what are the key categories, customers that are price shopping, what are they discovering, our analytics would suggest that we've been quite competitive for the last several years and maintained that way through last year. Now one of the elements is we get a certain level of price inflation and deflation at the landed cost level, predominantly driven by commodities. Oil would be an example. It has changed dramatically in the years we've been together as a team. Steel would be to a lesser extent. Those reflect in our gross margin based on our accounting practices faster than they do with some of our key competitors. So the price that the customer sees has remained competitive and consistent. How that actually flows through and impacts different people in our channel is -- so to Darren's point, weather kind of evens out over the year, and so does pricing. But it negatively affected us on the front half of the year. And at this stage, we don't see any material movements in the moment that would be noteworthy to report in terms of an outlook.
Darren R. Jackson: Yes. The other small thing, to build on Kevin's point, Chris, in the fourth quarter, we did have a weather benefit. And what I mean by that is you could change your oil. And so when I look at the mix now -- the other side of that is we didn't sell as much anti-freeze and some of the chemicals for cold weather. You could change your brakes. So when you peer into what was occurring is that mix certainly played a role in terms of the DIY improvement. But I don't want to underestimate or undersell or underappreciate the team's execution. I've felt, in my 4 years, exiting this year and entering next year, that focus on execution. We say running the business with excellence and what our field teams are doing, I must say, it's at an all-time high. It really is in terms of their focus around our oil business, brakes, batteries, the key front room categories. And that played a huge role in it because when I look at the absolute comparisons, as you pointed out, the DIY comparison in our fourth quarter was about as tough as we've had all year. And so it's not just luck or circumstance. They've done a nice job actually bringing it all into the fourth quarter.
Christopher Horvers - JP Morgan Chase & Co, Research Division: So if I were just going to summarize that, that response, it sounded like, yes, it helped gross margin sequentially but it wasn't as if the acceleration in DIY was solely price-driven ticket increase?
Darren R. Jackson: No. I think some of your peers would tell you that our pricing was below others in the fourth quarter.
Operator: Our next question is from Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: So Darren, on your guidance of low- to mid-single digits, for the 5% scenario to possibly come into play, what would have to change? Would it be a pickup in Do-It-Yourself growth? Or could you achieve that 4% or 5% comp sales gain even if Do-It-Yourself remain flattish?
Darren R. Jackson: Yes, well, I'll start one level above that, Dan, because that is a relatively wide range. And I'd say, what's underneath that is that -- I don't know where gas prices are going to go this year. Is that -- if we have stability throughout the year in gas prices, and depending on whose projections you read, it could go to darn near $5 at some places. Other people will tell you, you know what, we'll probably stay somewhere around $4.50. So I think about the overall cloud that's out there is understanding where overall gas prices will go. I think we saw that lessen this year. Miles driven tend to have a lesser effect this year as we look at failure and maintenance. Below that, between -- so that, overall, that has a disproportionate effect on our DIY business. I think as we -- and I think DIY, whether we do 5 or above or 1 or below, it's 2/3 of our business. So your instincts are right, is that the stronger we finish on DIY historically, the stronger we finish on that comp. What do I look at is store execution. And externally, what am I looking at? I'm looking at gas prices. And I'm looking, to a lesser extent, at miles driven to actually think about where we'll finish in that range.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Do you think that, given you've reduced the amount of selling space to the front end of the store and you've taken out some of the Do-It-Yourself-oriented inventory, that, that type of ramp in Do-It-Yourself is possible even if gasoline prices were to stay flat or drop?
Darren R. Jackson: Yes. I have Charles with me. Charles, year-over-year, there's not a material difference you see in what we have in terms of consumer and in terms of DIY?
Charles E. Tyson: No. I mean -- when we came together as a team, early on, we went in and looked at rationalization in our assortments and took what was unproductive and took about 18 months to take that out. But on a year-on-year sequential basis, we've expanded our assortments from better utilization of the back room space and put more inventory into our parts business to actually build our capability to serve the DIY customer, not at the expense of taking away from the front room categories that they expect us to carry.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And Mike, just one real quick question for you. Can you tell us why the company did not buy back any shares during the fourth quarter?
Michael A. Norona: I think we answered it previously. We bought back 12% of the company, and we're pleased by that. And then we...
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: But that was to end that -- that ended the fourth quarter?
Michael A. Norona: Yes, that's what I mean. I mean, we look at it over the year. I think in the fourth quarter, we did some other things around our capital structure. We were planning for a bond offering. We were focused on executing our business. There's also certain blackout periods that we hit. It's a longer period of time that we run into a little bit. But we're pleased. There was no -- I wouldn't read anything into it of why we didn't buy back shares.
Operator: Our final question today comes from Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: I know you guys have touched on this but, obviously, SG&A has been a pretty big swing factor for the last couple of quarters. And Mike, I know you tried to highlight a couple of items. But it looks like the change that you're looking for in SG&A per store is pretty sizable. I mean, we've had down 3% to 5% by my calculations the last couple of quarters. Now we're expecting positive low-single digits. Can you talk about what you mean in terms of normalization of compensation? And then just the sequencing. I think, Darren, you actually referenced this a little bit. Should we -- in terms of some of your expenses. Should we actually expect flat to down SG&A dollars in the first quarter, followed by sizable increases in the balance of the year? So 2 questions there.
Michael A. Norona: Yes, so Scot, great question. So first of all, the kind of the pockets that we've been taking costs from are really 3 fold. And we started the work in 2010, and we really saw it happen in 2011, where we're seeing better productivity in areas like our labor. So we're leveraging labor. We're spending more -- we're spending the same dollars, a little bit more actual dollars, but we're getting more leverage around those labors, around efficiencies and some of the excellence that Darren talked about. Our commercial programs, our commercial productivity on our commercial sales per program is up 45%. So I think the number is $637,000 per program. And back 3 or 4 years ago, it was closer to $430,000. So we're seeing productivity. We're also seeing reduced variability across our chain in terms of our performance. We're trying to variable-ize some of our fixed costs. And then we're also taking out cost furthest away from the customer, some of our discretionary, our occupancy and areas like that. The way to think about it is this. Where we started -- we were starting from a high SG&A rate. And I think -- I'm really pleased by the team's progress of pulling costs out and better leverage. But the other thing you saw last year is our incentive compensation. That played a pretty big role in terms of our leverage last year because what happened is we pay on growth. We have a very competitive program. We share a material more amount of our dollars and our success with our Team Members. And just last year, when you do a 2.2% comp versus an 8% comp, the incentive compensation, so that created a little bit of some of the SG&A we picked up last year. Also, and I think Darren talked about it last year, is the investments compared to historical levels were down. So you saw the benefit of the year-over-year change, with investments being a little bit, I'll call it, decelerated last year. When you put that together, last year, we saw more leverage come out. And you think, we did a 2.2 comp and we leveraged SG&A about 114 basis points. I think last year was a repositioning year. The way we look at it going forward now is -- and I haven't felt confident enough to say this but I feel confident saying it now. Going forward, we're probably going to leverage SG&A in more of that 3% to 4% range. So next year, the dollar is going to increase. And what we said is that, next year, our SG&A per store is going to grow at low-single digits. And what I'd read into that is we're going to continue our work to improve our cost structure and productivity, reduce variability and taking costs out furthest away from the customer. That's going to be offset by the investments that Darren referred to. Because we're committed to getting to 12% operating growth. And that is going to come in 2 ways. We got to continue to grow the business, so we need to still invest in commercial, availability and areas like e-commerce and global sourcing. So the offset to the SG&A will be investments in those areas. And we'll continue to demand the same kind of returns that we've been getting. So that's how we think about it. So we would anticipate that we're going to leverage in roughly that 3% to 4% range, and SG&A per store is going to go up in that low-single digits.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Okay. And then in terms of the cadence, should we actually think about kind of flattish dollars in the first quarter followed by sizable increases in the back?
Darren R. Jackson: Scot, I think you're on track. Think about, we began the process really aggressively in the second quarter of last year. We're going to anniversary a lot of that work. And you know how expenses work. We'll anniversary them through the first quarter of this year. As Mike said, we'll have some unique things. We're moving a managers' meeting that -- those aren't hundreds of thousands of dollars, those are millions of dollars that go from Q1 to Q2. We've spread out the investments. We still have investments in Q1, but we're trying to, as I said earlier, even those out throughout the year so the team can absorb them. We're upping our store count this year. That'll add a little bit more to our expense in terms of the flow, principally in the back half of the year. And that's what we tried to clearly articulate in our prepared comments as well.
Operator: Thank you. I will now turn the call back to Joshua Moore for any final comments.
Joshua Moore: Thank you, Wendy. And thanks to our audience who participated in our fourth quarter earnings conference call. If you have any additional questions, please call me at (952) 715-5076. Reporters, please contact Shelly Whitaker at (540) 561-8452. And that concludes our call. Thank you.
Operator: Thank you. That concludes our call today. You may now disconnect. Thank you for joining us.